Operator: Good morning, ladies and gentlemen, and thank you for waiting. At this time, we would like to welcome everyone to Adecoagro's Fourth Quarter 2023 Results Conference Call. Today with us, we have Mr. Mariano Bosch, CEO; Mr. Emilio Gnecco, CFO; Mr. Renato Junqueira Pereira, Sugar, Ethanol and Energy VP; and Mrs. Vitoria Cabello, Investor Relations Officer.  We would like to inform you that this event is being recorded and all participants will be in a listen-only mode during the company's presentation. After the company's remarks are completed, there will be a question-and-answer session. At this time, further instructions will be given. Before proceeding, let me mention that forward-looking statements are based on the beliefs and assumptions of Adecoagro's management and on information currently available to the company. They involve risks, uncertainties, and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions, and other operating factors could also affect the future results of Adecoagro and could cause results to differ materially from those expressed in such forward-looking statements. Now, I'll turn the conference over to Mr. Mariano Bosch, CEO. Mr. Bosch, you may begin your conference.
Mariano Bosch: Good morning and thank you for joining Adecoagro's 2023 fourth quarter results conference. We are presenting all-time records in gross sales, adjusted EBITDA and net cash from operations. Despite having experienced the worst drought in Argentina's history, these accomplishments were possible because of the investment made through the years to grow our production capability, strengthen our asset base and teams, the synergies achieved across all our businesses, our continuous focus on efficiency and being the low-cost producer, our geographic and product diversification, our flexibility to shift across markets and products.  These results made us reduce our net debt by more than $150 million, while we continued investing in growth projects with attractive IRRs and also distributing to shareholders via dividends and buybacks. Based on the results presented and according to our distribution policy, this year we will distribute at least $70 million, a new record for the company. Some brief comments on ESG. As food and renewable energy producers, taking care of the natural resources and the environment is in our DNA. Throughout the years, we have developed sustainable production models in each of the places where we operate. We expect to achieve our newly disclosed 2030 decarbonization targets by reinforcing these models and investing in new technologies with attractive financial returns, like the biomethane.  In Brazil, our Angelica mill facility received the CORSIA certification which guarantees that our ethanol can be used for Sustainable Aviation Fuel production, a potential new market for our ethanol production. In our Dairy segment, our second biodigester is injecting renewable electricity to the local grid by using cow manure as an input. This is a clear example of how circular economy model works. From this manure, we also produce biofertilizer which is then used in our crop farms and later produce cow feed. The ESG awards received during the year are another proof of the work and communication of our best practices. Now looking ahead, we are very enthusiastic about the outlook of all our operating segments. Normal weather conditions in Argentina and Uruguay have favored the planting and development of over 270,000 hectares of grains and rice. In the case of crops, yields are being defined and we feel confident that production will go back to normal levels, consequently showing a significant recovery in adjusted EBITDA in 2024. Furthermore, our rice mills in Argentina and Uruguay are continuously processing and turning our rice production into higher value-added products for our clients distributed all over the world. Having in place a fully integrated business model enables us to offer high quality rice at attractive prices. In the meanwhile, in Brazil, we are crushing cane and producing sugar thanks to our continuous harvest model and we foresee to continue increasing our milling compared to the 2023 record crushing, assuming weather evolving normally. To conclude, I want to thank our teams for the hard work and effort. Although we had a difficult start to the year, we achieved these results and the output remains very positive. Thank you to our shareholders for your continuous support. Now I will let Emilio walk you through the numbers of the quarter.
Emilio Gnecco: Thank you, Mariano. Good morning, everyone. Let's start on Page 4 with a summary of our consolidated financial results. Gross sales totaled $400 million during the fourth quarter, 5% higher year-over-year while adjusted EBITDA reached $96 million, 9% down versus the same period of last year. On an annual basis, gross sales amounted to $1.4 billion and adjusted EBITDA was $477 million making a 7% and 10% increase, respectively, versus the prior year as well as all-time records for the company. These results were mostly explained by an outperformance of the sugar, ethanol and energy business on greater cane productivity which enabled us to increase our sugar production and execute sales at solid prices.  Results were also positively impacted by solid returns from our rice segment on higher average selling prices and the sale of a farm in September. This in turn fully offset the decline reported in the crops production explained by the effects of an unprecedented drought event and higher costs in dollars.  Now please turn to Slide 5. As you can see on the upper right chart, we generated $176 million of net cash from operations in 2023, 24% higher than the prior year. The increase in cash generation was driven by an outstanding operational performance. Investments carried out throughout the past years across all our operations, along with an action plan which aimed to reduce expenses and generate savings, among other initiatives, have paid off.  Regarding our production figures in the bottom right chart, we can see that crushing volumes in our sugar, ethanol and energy business were up 19% versus 2022. Higher crushing translates into higher production volume, increasing sales and diluting costs. This was mostly possible thanks to the implementation of innovative agriculture techniques such as pre-sprouted seedling which enabled us to reproduce sugar cane varieties that have better growth development in our region both in yields and TRS content.  On the other hand, total production in our farming division reported a 29% year-over-year reduction fully explained by the reduction in yields and planted area in our crop segment because of La Niña weather event. Let's move to Slide 7 with the operational performance of our sugar, ethanol and energy business. During the fourth quarter, crushing volume reached 2.9 million tons, 7% lower versus the prior year due to higher rainfall received compared to the same period of last year. Regarding productivity, yields reached 82 tons per hectare whereas TRS content amounted to 127 kilograms per ton. In terms of mix, we diverted as much as 52% of our TRS to sugar in line with our strategy to maximize production of the product with the highest marginal contribution. Within our ethanol production, 72% was hydrous as demand for this type of ethanol had been significantly increasing and gaining market share offering the better margin.  On a full year basis, crushing volume reached 12.5 million tons, 19% higher year-over-year and a record for our mills. This is mostly explained by a significant improvement in agricultural productivity indicators, including a 20% year-over-year increase in yields to 80 tons per hectare as well as to greater sugarcane availability. As commented before, production mix stood at 52% sugar and 48% ethanol. This resulted in a sugar production of 806,000 tons in 2023, making a new record for our mills as well as a year-over-year increase of over 300,000 tons. As shown in the bottom right chart, while we maximize sugar production during the whole year to profit from the rally in global sugar prices last year, we maximized ethanol during the first semester and switched to sugar during the second half as ethanol prices decreased. This proves the high degree of flexibility of our mills. Let's please turn to Slide 8 where we describe our sales conducted throughout the year. Net sales amounted to $229 million during the quarter and $700 million on a year-over-year basis making a 16% increase compared to the previous year in both cases. This was driven by higher sugar sales on higher production and prices, which fully offset the overall reduction in ethanol sales.  As you can see on the top left chart, selling volumes of sugar amounted to 796,000 tons during the full year as our mixed decision favored sugar production to capture the significant price premium over ethanol. Consequently, our average selling price increased 24% versus the prior year.  In the case of ethanol, we made the commercial decision to reduce sales and build stocks as prices decreased anticipating high supply levels. Year-over-year sales comparison is only indicative since we ran a completely opposite strategy during 2022, maximizing ethanol production taking advantage of very attractive prices. That being said, during 2023, the export market opened the window of opportunity and we sold 54,000 cubic meters at an average price of $637 per cubic meter. This is so since we have the necessary certifications and industry capacity to meet product specifications. On an accumulated basis, energy selling volumes increased 18% compared to the prior year but the average selling price decreased by 9% due to low energy spot prices. Regarding carbon credits we sold over 440,000 CBios during the year amounting to $8 million in sales. Despite representing an 8% year-over-year increase in the selling price the declining volume sold is explained by lower volumes of CBios issued on lower ethanol sales. On the following slide we explain our cash cost. Total cash cost reflects on a cash basis how much it costs to produce one pound of sugar and ethanol in sugar equivalent. On a per unit basis our cash cost amounted to $0.139 per pound of sugar equivalent, 6% higher than in the prior year. This is mainly explained by first a 20% year-over-year increase in SG&A expenses on account of higher freight costs due to our commercial decision to produce more sugar and profit from higher relative prices. And second, maintenance CapEx was 5% higher than in 2022 due to the appreciation of the Brazilian Real as well as a higher renewal area and planting costs versus the prior year. However note that we were able to better dilute our production costs thanks to the year-over-year increase in milling volumes diminishing the increase in total cash cost. All of our efforts are devoted to further enhance efficiencies to continue reducing it. As we continue ramping up operations in our cluster cash cost will resume its downward trend. Please go to Page 10 where we would like to present the financial performance of the Sugar, Ethanol and Energy business. Adjusted EBITDA amounted to $87 million during the fourth quarter, 14% lower than the same period of last year. Despite the increasing net sales and the gains reported in the mark-to-market of our commodity hedge position lower adjusted EBITDA generation was driven by a year-over-year loss in the mark-to-market of our biological assets. On a full year basis adjusted EBITDA reached $396 million presenting a 6% increase versus last year and a new record for this business unit mostly explained by the increasing net sales. Finally to conclude with the Sugar, Ethanol and Energy business, please turn to Slide 11 where we would like to briefly talk about the current outlook. We have entered 2024 with good sugarcane availability and we are currently one of the few players in Brazil crushing and producing sugar. Being able to crush year-round even during the traditional inter-harvest period is one of our main competitive advantages. Assuming weather going normal we expect to increase our crushing volume versus 2023 as we have sufficient sugarcane availability to use our industrial capacity. This in turn will result in a reduction in unitary costs due to better dilution of fixed costs as mentioned before. From a commercial point of view sugar prices continue to be supported by strong fundamentals. We are in an excellent position to profit from this scenario as we have 53% of our expected 2024 sugar production still unhedged. In the case of ethanol parity at the pump currently stands at low 60%, pressured by greater inventory levels in Brazil even though demand has significantly switched to this type of fuel. We believe ethanol prices have room to increase since less ethanol is expected to be produced during 2024-2025 harvest, explained by less cane being crushed in Brazil on account of drier weather and our players still maximizing sugar production given its attractive premium.  Now we would like to move on to the farming business. Please go to Slide 13. For the new campaign that we are currently engaged in we have completed planting activities in 279,000 hectares with a favorable weather outlook. This represents a 5% increase in planted area compared to the previous campaign. In this regard we'd like to mention that weather in South America has shifted to El Nino after three consecutive years of dry weather. Rains registered throughout summertime allowed for an improvement in soil moisture and a recovery of water reservoirs in all of our productive regions. As of today most of our crops are undergoing its yield definition phase so the evolution of weather during the upcoming weeks will be key. We expect a full recovery in our crops production in 2024 while for our rice segment we are forecasting better yields due to the full recovery in water reservoirs. On the following Page 14 we present the financial performance of our farming business. Adjusted EBITDA for the farming business totaled $14 million during the quarter making a 34% year-over-year increase while on an annual basis reached 103 million 25% higher than the previous year. Full year results increase was mainly explained by an outperformance from our rice division coupled with the sale of El Meridiano farm which in turn fully offset the weak performance of our crops and dairy segments. Before going into the results of each operating segment I would like to comment that effective for our year ended 2023 we have modified our internal reporting to refine the way we view our farming business and its interaction with the land transformation and cattle activities embedded within such operations. Previously we reviewed the results of our land transformation strategy as a separate activity upon disposition of transformed farmlands and or other rural properties. As from the fourth quarter of 2023 we started allocating any profit from disposition of farmland or a bargain purchase gain as part of the farming activity where such farming belongs. Adjusted EBITDA for our crop segment amounted to a negative of $304,000 during the fourth quarter while on an annual basis reached $27 million. The later figure reflects the sale of El Meridiano farm conducted in September 2023. We generated an adjusted EBITDA of $30 million previously booked in the land transformation segment. Crops production on a standalone basis that is before the sale of the farm concluded in a break even adjusted EBITDA for both the quarter and full year results as expected. Results were mainly impacted by the reduction in yields coupled with a genuine increase in cost in dollar terms. Adjusted EBITDA in our rice segment was $8 million during the fourth quarter and $48 million on an accumulated basis. The increase in both cases was driven by higher average selling prices due to a better mix of higher added value products and higher global prices which in turn fully offset the reduction in yields and the increasing costs in dollar terms. Moving on to the dairy segment adjusted EBITDA totaled $6 million, 25% lower than the prior year while on a full year basis it stood at $28 million making a 9% year over year reduction. Lower crop output increased coin silage prices which is our main cow feed driving the year over year decline in our dairy segment. However, cow productivity reached record levels and we leveraged from our industrial flexibility to continue producing the product with the highest marginal contribution. Let's now turn to Page 16 where we would like to present our capital allocation strategy. According to our distribution policy we are committed to a minimum distribution of 40% of the cash generated during the previous year via a combination of cash dividends and share repurchase. Throughout 2023 we distributed $61 million or 43% of the net cash from operations generated in 2022. This was executed via cash dividends in the amount of $35 million coupled with a repurchase of $26 million in shares. In 2023 we generated $176 million of net cash from operations consequently our minimum distribution amounts to $70 million during 2024. Pending the approval of the annual general meeting cash dividends will amount of $35 million to be paid in two installments of $17.5 million each. Additionally here today we have already repurchased $18 million in shares which represents approximately 1.7% of the company's stake. Please turn to Slide 17 for a broader view of our debt position. Net debt amounted to $503 million making a 26% decrease compared to the same period of last year and a 29% reduction quarter over quarter. This was explained by a significant reduction in the gross debt position mainly in our farming business thanks to very good operational results and the company's financial strategy carried out throughout the year that enabled us to take advantage of opportunities in Argentina's financial market and benefit from the short depreciation of the Argentine peso. As shown in our financial figures, the reduction in our net debt position was done without distending [ph] our distribution policy and growth projects. As of December 31st 2023 our liquidity ratio reached 2.8 times showing the company's full capacity to repay shortened debt with its cash balances whereas our net leverage ratio was 1.1 times, 0.5 times down compared to the previous year. On the following slide, we explain our CapEx projects. 27% of total investments consisted of expansion projects. In Brazil we continue increasing our sugarcane plantation and the expansion of our biomethane production to replace diesel consumption and explore other alternative uses. During 2023 we reviewed our CapEx investments in our farming business to generate savings in a year of adverse weather in Argentina. Our main CapEx program consisted of expanding our rice operations and finalizing the construction of our second biodigester in our dairy operation and the upgrade of our cheese factory line in Morteros facility. To conclude I would like to thank our team for the extraordinary results delivered as you know and Mariano also mentioned when we opened the call 2023 started as a very challenging year but we were able to turn around the odds and deliver strong results showing the company's resilience against adverse conditions based on great productive assets diversification of products and regions and last but not least our people.  Thank you very much for your time. We're now open to questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Isabella Simonato with Bank of America. You can activate your microphone.
Isabella Simonato: Thank you very much. Good morning, everyone. Thanks for the call. I have two questions. First of all on sugar and ethanol you mentioned in the press release right that you expect crushing to be up year-over-year. So I was wondering if you could give us a sense of what volume of cane crush this year we should be looking at, and if you could elaborate a little bit more on the mix between sugar and ethanol and also the export market of ethanol which you took advantage in 2023 and how do you see the outlook for that? And second on the crop business and that includes price you mentioned also about yield perspective for the season as if weather permitting right and next couple of weeks, but also when we think about the cost side, right? If you could give us some sort of outlook for north where cost per hectare is looking like for the upcoming season I think that would help us to understand the outlook for 2024? Thank you so much.
Mariano Bosch: Okay. Thanks, Isabella, for your question. To take the first part of the question, I will ask Renato to give more clarity on the sugar and ethanol segment and then I will take the crops and rice comment.
Renato Junqueira Pereira: Hi, Isabella. Thank you for your question. Regarding the sugarcane question as it was mentioned in the presentation in the last quarter of last year we have a very good range that's one of the reasons that we crushed less cane compared to the year before, but we entered the first quarter in a very good condition which was very good considering our continuous harvest model so today we have already crushed in the first quarter more sugarcane than we crushed in the first quarter of last year so it's a very good situation. In February and March the weather is being a little bit drier than normal so if we put all this in consideration we think that our yields are going to be similar to the ones that we had last year. But we are still optimistic that we're going to crush more cane than last year, because our area of sugarcane has increased. So we expect we'll have potential to crush approximately 5% more than we crushed last year. So regarding the second part of the question is the mix of production. We are keep maximizing the production of sugar because it's still paying much more than ethanol right now. Last year we have reached a mix of 52%.So we think this year we are going to achieve a mix similar to that maybe a little bit more due to small adjustments and focus on the sugar operation and I think it's important to mention that we believe that the ethanol price is going to increase and the parity rate is going to reach 7% at some point of the year and if that happens the ethanol equivalent is around $0.20 per pound. So this is this is like a floor that we have to change the mix. And regarding the export, I think we export a lot of ethanol to Europe in 2022, there was a very good opportunity. Last year we have exported approximately 50,000 cubic meters this year we haven't exported any ethanol to Europe yet because we expect that the prices in Brazil is going to increase so we don't have the export window open. Also the price of oil when we exported ethanol back in 2022 was very high which is not the case right now. But of course we have all the possibilities to export we have the Bonsucro certification we have all the equipments to produce the ethanol required by European market. So if that happens we will be getting this opportunity.
Mariano Bosch: Thank you, Renato. And Isabella, regarding the crops and rice that you were asking and you're specifically asking about the rice. We are today in the middle of the harvest, so we are have already harvested 50% that is in a good shape and now we still need to harvest the other 50%. Thinking for next year the cost of production, so the cost of production of next year, we think that it's going to be in line with the previous year. Because there are many different factors and within the factors that are improving costs are all our efficiencies that we've been working with the increase in the area and coming into Uruguay and all the acquisition that we are taking care of last year. So there is an improvement because of the efficiencies and then in dollar terms that is what how we think about it there are most of the costs that are going to be more competitive this year than what they were last year that is a biofertilizer fertilizers in general and then even talking about the cost of fuel or irrigation cost as a total.
Isabella Simonato: Thank you.
Operator: Next question from Thiago Duarte with BTG Pactual. You can activate your microphone.
Thiago Duarte: Hello, everybody. Thank you for the opportunity. I have two questions and I think focused on the sugar and ethanol and energy business. The first one is kind of a follow-up I think you made a comment in your prepared remarks with regards to the cash cost in this business we saw an increase in the cost per pound in Q4. I presume this was due to the lower amount of cane crushed and obviously the lower dilution and if I understood you're still confident that you can see a downward trend in 2024 total relative to 2023.So just wanted to make sure these understandings are correct with regards to cost in Q4 and to unitary cost in 2024? That would be the first question. And the second question, when we when you look at the expansion CapEx, I think it was $52 million in 2023 and mostly focused on the built of the biodigester as well as the expansion of the planting so just wanted to know how much of that we should see moving on into 2024. My understanding is that most of these two particular projects are done in 2023 and how much of an expansion CapEx we could see carry over for the business into 2024? That would be it. Thank you.
Mariano Bosch: Okay. Thank you, Thiago, for your question. Renato, do you want to answer and then I can complement.
Renato Junqueira Pereira: Okay. So hi, Thiago. Thank you for your question. So regarding the cost, we think that there are some components of the cost that is going to increase, such as labor that increase according to inflation, freight that is still under pressure. But there are other factors also in the numerator part of the costs that are decreasing, such as inputs in general. So I would say that the numerator part of the cost is almost flat year-over-year. But the denominator part, I think is going to make the difference in our case. We --as I mentioned before we still believe that we're going to crush more sugarcane this year compared to last year. So this dilutes our cost more. So we expect a cost similar or slightly lower than we had last year. And regarding the question about the CapEx, I think the CapEx that we are projecting to do is exactly what we mentioned is the expansion of our planting to fulfill our capacity in MatoGrosso do Sul and also the biodigester expansion, we plan to increase our production of biomethane in MatoGrosso do Sul from 6 to 30,000 cubic meters per day in the next four years. So that's basically the CapEx that we are planning to do.
Mariano Bosch: Very clear, Renato. And Thiago, just to complement, I wanted to make more open on our CapExes for this year and this has a lot to do with the capital allocation and how we think about it. First of all these results that we are seeing today and this increase in distribution because of the increase of net cash operations are the clear consequence of all the investments that we've been doing during these years. So today we still see a lot of growth opportunities and as Renato was explaining on the sugar and ethanol we have this clear opportunity on increasing this continue to increase the sugarcane plantation that is very efficient in this specific area continue to increase the biodigesting of the vinyas that then is transformed into a biofertilizer so the whole system still has a lot to grow and a lot to replace the diesel et cetera. So that is on the sugar and ethanol that there are many other things that are also very interesting. On top of this we have this expansion projects in the rice business. As you've seen in the rice business we've been growing and the results are clearly paying off. The same thing we have for the dairy. There are some opportunities that we think are very attractive. So we can expect this to continue to happen what you've been seeing in the last years. But this also means that we are fully convinced of our distribution policy we put in place this fully -- this distribution policy 2.5 years ago and we are following that very closely. We are fully committed to this and we are doing through both dividends and buybacks as Emilio explained and the dividends are something you will be seeing the $35 million and on top of that you saw that we bought back a $1.18 million of shares that is 1.7% of the company in only two months. So that is something that we expect or you can see to continue to happen, that is above the policy and most of the years we've been going above the policy and the policy says at least. So that's a view or a clearance something that we are clearly thinking on. So that was to complement the concept of how we think about the CapEx and capital allocation.
Thiago Duarte: That's great, Mariano. Thank you for the additional color.
Operator: If you have a question, please write it down in the Q&A section or click on raise hand for audio questions. Please remember that your company's name should be visible for your question to be taken. We do ask that when you pose your question that you pick up your headset to provide optimum sound quality. Please hold while we pull for questions. Next question from Larissa Pérez with Itaú BBA. You can activate your microphone.
Larissa Pérez: Hi guys. Good morning, Mariano, Emilio, Renato, Victoria, all the Adecoagro team. Thank you for taking my question and congratulations on the results once again indeed very resilient. I was wondering if you could share with us your thoughts on La Niña impacts because the probability of La Niña coming back by the second half of this year has been steadily increasing. And I wanted to hear from you, how much do you think it could impact both the Argentinean farming division and the Brazilian sugar and ethanol division? That would be my first question regarding the impacts on the second semester and the beginning of next year. And my second question would be on the process of SAF certification. Congratulations on getting the Angelica mill certified for SAF production. I would like to understand if you're planning on certifying your other mills? And what are the next steps here that you envision towards supplying ethanol for SAF production? Those would be my two questions. Thank you once again.
Mariano Bosch: Okay, Larissa, thank you for both questions. I'm going to take some time to go in detail because I think are very relevant. First of all on La Niña year, we need to be clear we are all hearing about La Niña year coming ahead of us. This is totally different to what happened the previous year because now would be a La Niña year after El Nino year. The great issue that we had with La Niña the previous year was because of a third consecutive year of La Niña and this is a very different situation than what we have today where we have most of the reservoirs full and then you have a La Niña effect. That of course will have effects that I will go in detail in a segment-by-segment case and how this can how can this affect us. First of all, on the sugar and ethanol business, the area where we are with our sugarcane plantation in MatoGrosso do Sul is an area that is neutral to El Nino or La Niña so it doesn't really affect to our own production, so it doesn't have a clear consequence to our own production. But what we can see in La Niña is that center south in general is more dry and so the harvest will be shorter but also lower so as Renato explained before we expect a lower sugarcane production in center south as general and that means that is optimistic for prices of sugar and ethanol both. So, all in all for our sugar and ethanol business we believe it is a positive impact. Then when we go to the crops that is what has been more affected and is more affected by a La Niña year, we are already working on that so while we are negotiating the leases for the crops. We are taking that into account and also when we present our planting plan the crop rotation and how we manage the crop rotation, we are also taking into account this potential La Niña year and so we can mitigate the impact. But in crops we always talk about mitigating the impact because you will always have some type of impact if we have a La Niña year. Then we moved into the dairy that for dairy is totally neutral we don't see any effect for La Niña or El Nino. So, in general, we can say that for our production system and our specifics is neutral, a little bit positive because in general prices go up in La Niña because the rest of the production is affected with La Niña year. And then to the rice segment, that is the one that could be more positive if we take the lesson learned of the previous years because in this case rice is 100% irrigated. So being 100% irrigated, if we have enough water, it is the ideal situation because in La Niña year you have more sunshine, more sun, more temperature and that helps for the evolution of the rice business. The point here is that you need to be with the reservoirs full and today we are with all the reservoirs full and we are very well prepared for next year if we have a La Niña year in the case of the rice segment. So all these investments we've been doing in rice are clearly paying off and we have learned lessons in order to plan the amount of hectares that we have enough water. So that's why we are very if it is a La Niña year for the rice business is a very positive has a very positive impact. So that's all-in-all the impact of what La Niña could be. And then going to your second questions about this sustainable aviation fuel certification or the CORSIA certification that allows us to produce sustainable aviation fuels. I think that, it is important to mention here what had happened yesterday in the Brazilian congress. The Brazilian congress is approving with an important majority the law of the fuels for the future and this law fuels for the future is taking into account many things including this sustainable aviation fuel. So we believe that, all what we are producing in Brazil through our sugarcane production is totally aligned with this law that the congress is approving. First of all the biofuels are going to be more relevant the mix is increasing so they are in favor of biofuels and that is very important. Then they are putting a sustainable aviation fuel target of 1% in 2027 and from there increasing to 10%, so that opens a possibility of a new market for all our ethanol, and we can certificate and being specific on your answer, we can certificate all what we have as a Bonsucro certification. So having all our Bonsucro certification allows us to produce more than 50% of our total ethanol production with the certification as of today, and of course all the other mills will also be certificated and this is a process so that is a very relevant. Then this law also talks about the biogas and the obliged to start mixing biogas with the gas consumption. So biogas is what we are producing and in which we are investing as Renato was explaining before through what we are taking out of the vineyards and so that is part of the same concept. Then fourth talks about carbon storage and carbon storage means the CO2 being able to put it into this back into the soil and the area where we are producing is one of the areas of Brazil where you can do that because of the geological things that the or area that we have there. Then finally the whole law talks about the CO2 emissions since the very, very origin of the biofuel until the full consumption so in this whole chain if we think about CO2 emissions since the very beginning these biofuels coming from the sugarcane are the most efficient in the world that's why we think all this law is very much aligned with all our long-term strategy in Brazil and in our sustainable production models in general not only Brazil.
Larissa Pérez: Okay. Thank you so much for the detailed answer. Thank you.
Operator: This concludes the question-and-answer section. At this time, I would like to turn the floor back to Mr. Bosch for any closing remarks.
Mariano Bosch: Thank you all very much. Thank you for participating in the call, and we hope to see you in our upcoming events.
Operator: Thank you. This concludes today's presentation. You may disconnect at this time, and have a nice day.